Operator: Good afternoon and welcome to the 4Front Ventures Third Quarter 2023 Earnings Conference Call. Today's call is being recorded. At this time, all lines have been placed on mute to prevent any background noise. After the prepared remarks, there will be question-and-answer session. As a reminder, during the course of this conference call, 4Front's management may make forward-looking statements that are based on the current expectations and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These results are outlined in the Risk Factors section of the company's filings and disclosure materials. Any forward-looking statements should be considered in light of these factors. Please note that the Safe Harbor, any outlook presented speaks as of today, and 4Front management does not undertake any obligation to revise any forward-looking statements in the future. I will now turn the call over to Leo Gontmakher, Chief Executive Officer of 4Front Ventures. Please go ahead.
Leo Gontmakher: Thank you, operator. Good afternoon, everyone and thank you for joining us today. I'm joined on today's call by our Chief Investment Officer, Andrew Thut; Consulting President, Karl Chowscano, Interim Chief Financial Officer, Nicole Frederick; President of Corporate Development, Ray Landgraf; President of Illinois and Massachusetts Operations, Brandon Mills, and our Director of Finance, Brian Ehmke. On today's call, I'll provide an overview of our third quarter highlights. I will then pass the discussion to Brandon, who will cover the trends in our performance in our key markets. Andrew will then expand on our financial results and give an update on what's in store for the remainder of the year and into 2024. We'll then conclude with a question-and-answer session where the management team will be available for any follow-ups. Since our inception, our primary focus has centered around producing high quality products and scaling our low cost production capacity. The systems, processes, and procedures that we have implemented and honed in over the past few years have led to improved genetics, yields, and cannabinoid profiles, and in turn product quality, enabling us to introduce new offerings and brands across our platform. And with our strategy, we have been able to zero in on the markets with the strongest potential for long-term sustainable growth, where we are uniquely positioned to capitalize on their development. We've identified these markets to be Illinois, Massachusetts, and Washington, our three core states with the clear growth story ahead being Illinois. As mentioned during our last earnings call, our focus for the remainder of the year and into 2024 is on profitable and sustainable growth. With the evolving landscape, we have retained the flexibility to adapt our operations as needed, directing our attention toward opportunities that we are confident could provide the highest return on investment within our portfolio. With this strategy in mind, we have seized our operations in California. Our presence in California has undoubtedly played a critical role in the development of our platform and low-cost operating blueprint. And it's important to acknowledge the tangible success we have harvested from our time there. The State has ultimately equipped us with invaluable assets and insights that continue to propel us forward, including our premium brand, Island, which boards a substantial and dedicated customer base. Additionally, the strategic onboarding of key management figures such as Brandon and Ray have greatly enhanced our leadership with their invaluable expertise and vision. However, despite these successes, we can no longer justify the ongoing drag on our profitability. We're leaving the California market due to many challenges, all crucial for a successful market. The state grapples with the demanding regulatory climate that has inadvertently strengthened the illicit market. There is also a lack of accessible financing and widespread struggles in maintaining cash flow when wholesale prices change quickly, affecting everyone from growers to brands. Retail operations face particularly harsh conditions with an over-saturation of stores competing for limited customer traffic in a price-sensitive market, leading to dwindling profit margins and cash flows. Additionally, companies producing consumer goods face major challenges in receiving payments from financially struggling retailers. These accumulating pressures have rendered the California environment unsustainable for our ongoing operations. These obstacles ultimately hindered our anticipated investment returns and by exiting this market we expect to see an immediate improvement in our profitability. As part of this strategic pivot we have successfully relocated our best-in-class automated production equipment from California to our 250,000 square foot facility in Matteson, Illinois, further expanding our production capabilities in that state, more on that shortly. This portfolio realignment ensures that we are positioned for a strong finish to 2023, setting the stage for steady margin growth into the new year. Moving forward, we're primarily focused on maximizing revenue in our core markets, Illinois, Massachusetts, and Washington. Our operational efficiency improvement plan is moving along steadily as we continue to place a strong emphasis on generating long-term cash flow, while upholding self-sustainability as a core strategy for the company. As part of this commitment, we've been optimizing our retail, cultivation, and processing operations across our entire footprint. Now on to some brief operational highlights from Q3. In Illinois, the demand for wholesale remains highly encouraging. Year-over-year, our wholesale sales have almost tripled in the state, compared to the third quarter of 2022 and a 40% increase from last quarter. This surge is not just numbers. It reflects our expanding influence in Illinois as a top operator. This momentum in the wholesale market is particularly promising as we advance our plans to initiate large-scale cultivation and production. The growth is partly propelled by the rapid opening of new retail doors and wholesale accounts across the state, underlining a strategic focus on cultivating strong relationships with these accounts. This not only underscores the rationale behind expanding our wholesale operations, but also justifies our decision to launch a large-scale facility. Unlike our experience in California, where retail expansion didn't scale as anticipated, Illinois is showing tangible scaling, affirming our strategy and investment in the State's wholesale and retail sectors. Our state-of-the-art cultivation and processing facility in Matteson is on track to power up by the end of the year. The facility is truly remarkable, seamlessly integrating best-in-breed process, systems, and technology from each of our other facilities. Additionally, we've made substantial advancements in our retail expansion strategy in Illinois. This aligns with our plan to open eight new dispensaries in the State. The first store is scheduled to open in the first quarter of next year, followed by the opening of an additional store each subsequent quarter. Brandon will provide more details on this shortly, but we're incredibly pleased with the storefronts being secured in attractive, high-performing retail areas with strong traffic hours. In Massachusetts, we navigated a challenging quarter marked by decreased pricing and strong competition in the wholesale market, intensified retail rivalry due to the aggressive discounting created by crew leaves departure and a reduction in our inventory that limited customer choices. We proactively addressed those issues and it is noteworthy that Massachusetts has remained the profit of a market, which not only highlighted our robust strategy, but also underscored the compelling appeal of our brand. Significantly, our widely acclaimed West Coast Transplant Island achieved the sales growth of approximately 28%, compared to the previous quarter. Over the past quarter, we've made significant efforts to enhance store traffic and boost customer engagement. This includes strategically expanding our third-party marketing efforts in Massachusetts, where we've already witnessed increased split traffic. We plan to replicate this success in Illinois as we continue to expand our retail presence in the State. In Washington, a fusion of improved flower quality and refresh branding has led to a doubling of our flower sales since the start of the year. In fact, October marked our first million dollar flower month since 2021. This coupled with the launch of our premium brand Island, has resulted in us being able to maintain a strong market share position in our original cornerstone states. It's essential to emphasize that our company's strengths stem from its origins in this highly competitive non-vertical legacy cannabis market. This backdrop has only honed our competitive edge, showcasing the tenacity at the heart of our operations. With our existing business stable and our core markets generating operational cash flow, we look forward to step-function growth in 2024 when our Illinois assets come online. As previously highlighted, Illinois stands as our most substantial avenue for growth, and we're eagerly anticipating the opportunity to showcase our complete capability set in one of the nation's most promising markets. From a broader perspective, we maintain a cautious yet optimistic view of the evolving regulatory landscape. Market adoption rates are outstripping prior forecasts with demographic trends suggesting an escalating demand particularly among younger generations, who are opting for cannabis over alcohol. The frequency of cannabis use in the past month has surged, more than doubling since 2021. For example, in Colorado, around 20% of the population has used cannabis recently, with that number climbing to over 30% among 18 to 25-year-olds. While our business strategy does not depend solely on federal and banking reforms. We continue to support these critical initiatives, acknowledging the significance and positive impact they could have on our industry. With that, I will now pass the call over to Brandon to discuss trends in our performance in our key markets.
Brandon Mills: Thanks, Leo. I'll now begin with a breakdown of our performance state by state. Starting in Massachusetts, we had a challenging quarter, like many in the industry, which we attributed to three main factors. Number one, market oversupply led to a decrease in pricing and heightened competition in the wholesale market, especially for bulk products and less differentiated or value-added SKUs like packaged flower. Number two, the retail landscape grew more competitive locally, especially as our neighbors such as Trulieve departed from the Worcester market with their deep and prolonged discounted offerings diverting some of our customer base. Number three, we reduced our third-party inventory for our mission stores, which resulted in less product variety and adversely affected our customer shopping experience. We've actively addressed these issues as we move into the fourth quarter with the goal of aligning with our retail targets for the upcoming new year. Despite these setbacks, we remain optimistic about our ability to compete for a top position in the Massachusetts market and to replicate that success in Illinois. I'm pleased to report that the demand for the limited excess inventory we produce in Massachusetts has continued to climb, resulting in our unique third-party retail customers growing by a robust [16.75%] (ph), compared to the same period last year. Equally encouraging is our performance in terms of individual orders, which saw a significant uptick of about 15%, indicative of strong downstream sell-through as our third-party retail customers increased both ordering frequency and quantity. Our brands have been performing exceptionally well in Massachusetts with numerous new product launches capturing the market's attention. In particular, our latest launch, The Hunt, stands out with a curation process whereby our master cultivators carefully select the best cannabis strain, ensuring a premium, unique, and dynamic product offering. The strong demand for The Hunt, which consistently sells out within three day, reflects future harvest planning. This success story is a direct reflection of our legacy market roots, where the emphasis on product quality becomes crucial as markets mature and competition intensifies. Our strategy of pheno-hunting to introduce new strains in genetics is a testimony to our belief that the quality inside the jar becomes increasingly important. It is this focus on substance as much as style that will continue to set us apart in an evolving market landscape. Furthermore, in recent months there has been a noticeable stabilization of flower pricing around the $6 per gram market in Massachusetts, which offers further reason for optimism. In the nascent and rapidly evolving industry, there is no room for resting on morals. Quality at the right price, innovative products, and a terrific customer experience will carry the day long term. This is our forte. On the product development front, we have extended our offerings in Massachusetts by building upon an already robust product offering across three of four front flagship brands, Island, Marmas, and Crystal Clear. Since its debut in the state just one short year ago, Island, our premium flower and vape brand, priced 10% to 50% above the other brands in our portfolio, has rapidly established itself as a cornerstone element in our product lineup, delivering impressive results that are making an impact across our markets. And just this past quarter achieved sales growth of approximately 28% over the previous quarter. The brand's West Coast roots, unique genetic library, and tried and true product formulations and formats represent a standard for excellence in innovation within our organization. As Leo previously noted, we are making substantial efforts to improve in-store traffic and deepen customer engagement. We have strategically increased our third-party marketing efforts and improved the customer experience by seamlessly integrating digital and in-store shopping opportunities, which has significantly boosted customer satisfaction and retention. Additionally, we've refreshed our rewards program to offer more personalized promotions, leading to repeat visits and strength in loyalty. Our more competitive offers and promotions seem to be resonating with price-sensitive customers. Our initiative to increase customer engagement, both in-person and online, provides a stronger connection with our brand, setting the stage for sustained organic growth. We are confident these steps will continue to drive positive outcomes for our store traffic and our overall financial performance. Next, Illinois, which will represent the single largest near-term growth driver for the company. As mentioned earlier on the call, our wholesale business in Illinois is thriving. With a near tripling of wholesale sales year-over-year and a 40% increase sequentially, we are incredibly confident in our growing position as a preferred supplier to leading third-party retailers in the State. Our premium flower brand, Island, is again doing incredibly well on this market, having seen an increase in sales of approximately 64% over the previous quarter. This prompted us to expand our offering to include new West Coast-inspired strains for our classic pre-rolls and expanding available flower jar sizes to accommodate larger and repeat bulk buyers. Additionally, our other well-known brands in the state have experienced sequential quarterly sales growth with a 24% increase for Crystal Clear and a 43% increase for Legends. Crystal Clear offers a range of products, including half-gram and one-gram cartridges, as well as a rechargeable and disposable vape pen. For the Legends brand, we offer a variety of products, single gram pre-rolls, packs of half gram pre-rolls, as well as flower options in 1 gram, 3.5 gram, and 7 gram sizes. We have successfully completed the construction of Forefront's Cultivation and Production Facility in Matteson, marking a significant stride in deepening our operational presence, capabilities, and leadership in the State of Illinois. In its first phase, this facility will house around 43,000 square feet of flower in canopy out of an eventual footprint exceeding 67,000 square feet. We will also bring online over 70,000 square feet of state-of-the-art manufacturing space with plenty of room for additional expansion into the 250,000 square foot building. The facility is designed to quickly accordion additional flowering capacity at very low marginal cost, enabling us to scale up efficiently in response to the growing demands of our mission and third-party retail channels. The strategic move to relocate our state-of-the-art equipment from our California facility has the obvious benefit of reducing the need for costly new investments, while maintaining our technological edge. This equipment includes automated flower packaging, pre-roll manufacturing, and vape fill, as well as our high-volume extraction lab and distillation skid, and additional workflow-specific production line tools such as inline labeling, printing, and inventory management. We've also migrated our distribution platform and vehicles. The transition has been seamless, ensuring that our production capacities will be enhanced by the familiarity and proven performance and scalability of our platform. By reallocating these resources, we've not only demonstrated our commitment to efficiency and sustainability, but also optimized our operational costs as we capitalize on the advanced capabilities of our equipment in a facility that better suits our evolving business needs. The development of Matteson is proceeding according to our outline timeline, and we are on track to power up by the end of the year. During the quarter, we also secured funding to facilitate our additional retail expansion efforts in the State. We are on schedule to open a total of five stores in Illinois by Q4 of 2024, with one store set to open in Q1, followed by the opening of one additional store approximately every two months thereafter. Locations for two of the three additional stores have already been selected for buildout. The first is in the Village of Norridge, located in Cook County in a high visibility retail trade area alongside many popular big box stores and directly across the street from a major regional mall. The other two stores will be located in the bustling Chicago metro area, with one being in a highly coveted shopping area and the other strategically located in a high traffic area with limited competition. Regarding our plans for additional licenses in the State, we anticipate that the scarcity of capital in the industry will continue to contribute to the trend of social equity license holders engaging in partnerships or complete acquisitions by larger operators in the coming months. Given that many of the major operators in the region are already constrained by the 10-location limit, we believe we are uniquely positioned to capitalize on the current environment and to create mutually beneficial opportunities for license holders and landlords alike. In our Washington facilities, amid a challenging pricing landscape, we have been integrating innovative techniques from our Massachusetts operations, including transitioning to higher performing grow mediums and dry cure techniques. We view this introduction of SOPs from Massachusetts into Washington proudly as the strength of our original platform, which was built on the Washington operating procedures, continues to improve and evolve as we integrate best practices from other markets. We believe this is a strong indicator of the strength of our entire national platform and team. We have also made significant headway in adapting to changing consumer demands as the Washington market continues to mature. This includes the expansion of our vape offering, updates to our packaging to make it more compact, modern, and retail-friendly, as well as our brand and genetic library, including the introduction of our flagship Island brand in May. Early results are encouraging, such as the fact that our monthly flower sales have nearly doubled since the beginning of this year, representing momentum we plan to build on. Finally, we have implemented the Roundup for Cannabis Reform program across our mission dispensary network in partnership with The Weldon Project, a non-profit dedicated to furthering federal cannabis reform for those incarcerated for non-violent cannabis-related offenses. The program gives customers the opportunity to round their purchases up to the nearest dollar at the point of sale at all of our dispensaries, with proceeds going toward advocacy efforts for legislative reform at the federal level. With that, I'll now turn the call over to Andrew to provide an overview of our third quarter results.
Andrew Thut: Thanks, Brandon. Let me provide a brief overview of where our company sits and what was a transitional quarter. The discontinuation of operations in California and the reevaluation of our tax strategy had significant implications on our GAAP accounting. The hard work initiated in Q2 has reduced overhead by $9 million and after severance consideration through Q3, we are now fully experiencing those savings. The California losses of over $12 million over two quarters are gone. This has enabled us to report an adjusted EBITDA of $3.5 million for the quarter, a more than 70% increase from the previous quarter, despite facing some headwinds in the Massachusetts market. We ended the quarter with $2.8 million in cash and have since secured $10 million in funding to build out additional retail locations in Illinois. This new retail expansion complements our Matteson facility, which comet is committed to powering up by the end of the year. System-wide pro forma revenue from continued operations was $28 million for Q3 ‘23, which was down 11% from the previous quarter. GAAP revenue attributed to continuing operations was $23 million in the quarter. Our experience in California has provided critical lessons that we're applying in Illinois, a state which offers a clear path to profitably double the size of our company. Moving forward, our strategy is clear. We'll intensify our expansion initiatives in Illinois and continue to press hard in Massachusetts and our Washington facilities to expand our market share with innovative and quality products at great value. We've also engaged with tech specialists to mitigate the effects of 280E and we were very pleased with the progress we've made on that front and look forward to updating investors on that progress in the near future. As we wrap up today, I would like to reiterate a few points. Our predominant focus is on sustainable and profitable growth. Navigating through the complex and often challenging and operating environments of a nascent market has not only tested our resilience, but it has also provided us with rich insights that are instrumental in shaping our future strategic decisions. Consequently, we're resolute in our in-channelling capital exclusively into projects with the highest return on investment that contribute immediately to our growth and cash flow. With the impending inauguration of Matteson cultivation and production facility, the development of our retail footprint, we are excited to extend our full capabilities to Illinois. The strategic expansion offers the most significant growth opportunity in the upcoming month, and one that we are eager to maximize to broaden our outreach and solidify our market position. With that, I will now turn the call over to the operator to open the lines for Q&A. Operator?
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] Your first question comes from the line of Neal Gilmer from Haywood Securities. Your line is now open.
Leo Gontmakher: Hey Neil, how you doing?
Neal Gilmer: Hey, good, how you doing?
Leo Gontmakher: I'm doing well.
Neal Gilmer: Good. Maybe just to close off the sort of the California conversation, given your strategic decision here, you commented on some key equipment you've moved to Illinois. Are there further than any remaining equipment or the facility there, sort of sales you anticipate making in California that will help generate some cash proceeds or you pretty much sort of just not much else that is salvageable from those operations here?
Leo Gontmakher: Karl?
Karl Chowscano: Sorry, Neil. The question was…
Neal Gilmer: Yes, go ahead.
Karl Chowscano: The question was whether or not there is going to be any more dispositions of our California assets to help the cash flow.
Neal Gilmer: Yes. You said you moved some key equipment, some automation equipment to Illinois, but I don't know if that's the bulk of what you had there or the facility itself, like just sort of seeing if you've got some asset dispositions that will obviously put some further cash in your balance sheet?
Karl Chowscano: Yes, great question. I think fortunately we're going to be able to allocate and utilize most of our equipment. There is one -- there is a couple larger pieces that we're entering into a transaction right now, which should put some cash on the balance sheet. For the most part, we're able to implement, but there will be some dispositions that should be in the very near future that we could announce, or at least we’ll beat that.
Neal Gilmer: Okay, okay. Thanks. Turning this story to Illinois here, obviously good to hear that you're still on track to power up Matteson by the end of the year. So on that assumption, I'm sort of taking a look at that facility, sort of the earliest it sort of can contribute, sort of Q2 next year when you get through a full sort of cycle of growth, et cetera. So over Q4 and into Q1, you know, do you still have the ability to grow your wholesale revenue at the same rate that you did in Q3, or should we see this growth being very short-term, sort of, tempered until you can further accelerate once Matteson comes online?
Leo Gontmakher: Brandon, do you want to take that one?
Brandon Mills: Yes, happy to take that one. So in terms of how the Matteson facility is brought online, power will be complete in December according to ComEd based on our current timeline. There's then commissioning of equipment and lights that takes a little bit of time into January, February, before the first crop goes in. And then obviously there's time for veg, flower, harvest, dry care, et cetera. So we're really seeing this as coming online sort of during the spring and being more creative to the growth that you were referring to by kind of mid-year-ish, early summer timeline. But the shorter answer to whether or not we can continue to sustain wholesale growth is yes, we do have some excess capacity both in flower and vape where we can continue to grow Illinois wholesale while we wait for Matteson to be fully accretive. But obviously that would be capped. So if that timeline were to be delayed for any reason, that would start to affect us, but we don't anticipate that to be the case.
Neal Gilmer: Okay, great. That's helpful. Thanks for taking my questions. I'll pass the line.
Brandon Mills: Of course. Thanks.
Operator: Your next question comes from the line of Yewon Kang from Canaccord Genuity. Your line is now open.
Leo Gontmakher: Hey, there. How are you?
Yewon Kang: Hi, good evening. This is -- good how are you?
Brandon Mills: I’m doing well.
Leo Gontmakher: Good. Thank you.
Yewon Kang: This is Yewon on for Matt Bottomley. Just one for me here, so in terms of adjusted EBITDA for the quarter, it's kind of hard to see because we're given the revised numbers for Q2. But the increase of 70% sequentially, could you perhaps name any factors that have led to this increase quarter-over-quarter, now that the California operation impacts?
Andrew Thut: Yes. I'll turn you over to Brian Ehmke, our Director of Finance. Brian?
Brian Ehmke: Thanks, Andrew. Yes, the number one factor there is going to be the California shutdown and the additional one-time add-back from that.
Yewon Kang: Right. Sorry, just one more. Would you be able to share what the normalized sequential movement would have been?
Brian Ehmke: I'd want to take that one offline and dig a little bit deeper into the normalized number.
Yewon Kang: Yes, for sure.
Brandon Mills: Hey, guys. I think the only other contribution would be the manifestation of the non-California-related reduction in force that kind of led through Q3 and we were able to realize some of the benefit near the end of Q3 once the severance periods were expired. So I think that would have helped as well.
Yewon Kang: Yes, very helpful. Thank you so much. I'll jump back into the queue.
Operator: Your next question comes from the line of Jesse Redmond from Water Tower Research. Your line is now open.
Leo Gontmakher: Hey, Jesse. How are you?
Jesse Redmond: Hey, guys. I'm good, guys. How are you?
Leo Gontmakher: Excellent.
Brandon Mills: We're good?
Jesse Redmond: Good, I just had a little question about Illinois since that's such an important market going forward. From what I see in the data and talking to companies, it appears the wholesale opportunity might be improving perhaps as new stores open, especially some of these social equity doors start to open as well? However, I've been hearing more about retail getting more challenging due to increased competition from those doors that may help wholesale and also obviously with Missouri flipping to QREC some of those previous border stores have obviously come down a lot in revenue? So my question is, how are you overall seeing that market at this point, and specifically, are you seeing increased retail competition, and what is your perspective on wholesale as more of these doors open?
Leo Gontmakher: Yes, Brandon, do you want to kick it off and let Ray and Karl chime in?
Brandon Mills: Happy to. Yes, let you guys chime in. I think one thing that we've learned is that it really depends on the specific location. So when it comes to retail, there are certain locations, including some of ours, like our Calumet City location, that were incredibly insulated from competition at one point and have now seen more competition come in. And it's sort of a case of we're all eating from the same pie, right? So it's a zero sum game and that's been challenging. So as we turn toward our future retail expansion, that's a very important part of the strategy is to understand where we might be insulated from competition, what areas are particularly attractive to us. And I believe we have a great, very strong thesis on what we want to see in the next chapter. When it comes to wholesale, we're currently only penetrated into about 55% to 60% of the Illinois market, so we have a lot of growth opportunity ahead once the supply comes online and maps in. I think we're all anticipating the rate of opening of new stores to be impressive at some point. It's not quite there yet today, and it's probably just a lack of capital for the operators that have those licenses to get those stores up and operational. But over time, we will see the retail footprint double in Illinois, and we do see that as a pretty significant tailwind for the wholesale opportunity.
Jesse Redmond: That's helpful, Thanks. Any read on the consumer generally in your markets? I've been hearing on some calls about value brands doing better and consumers shifting down, maybe more units, smaller basket sizes, a bit lower prices. Are you seeing that in your data that the consumers still feel stretched at this point and maybe shifting down in their consumption preferences?
Leo Gontmakher: I can feel that one too. What we've seen at our location so far, at least over the last six months of data that we've been looking at very closely is that our average basket sizes have actually held up pretty strongly. It's foot traffic that we're more challenged with and I think that's just a direct result of having more local competition. So we're still seeing strong consumer demand. We happen to have, because of the nature of forefront history, we happen to have a low cost production model and so our strategy going into Illinois was to come out with our Legends brand of Flower, our Crystal Clear brand and vape, which were already fairly value-oriented. So I think we may be sort of a little bit insulated from some of that behavior because we've been in the right target consumer segment all along. But we’ve also seen a strong sell through of our Premium Island brand, which is priced, I want to say almost up to a 50% premium in Illinois to our Legends brand in certain cases. So we're feeling pretty good about it all around. It feels pretty healthy.
Jesse Redmond: Okay, that's great. Thank you very much.
Andrew Thut: Thanks, Jesse.
Operator: There are no further questions at this time. I will now hand over to Leo Gontmakher for closing remarks.
Leo Gontmakher: As always, I'd like to extend my thanks to everyone who joined today's call. Your engagement and continued support are invaluable to us. A special thanks also to our dedicated team whose tireless efforts and commitment have been the bedrock of our progress. As we move forward, we remain steadfast in our mission, committed to excellence and enthusiastic about the opportunities that lie ahead. Together, we will continue to navigate the challenges and celebrate the successes that our collective journey brings. Thank you all once again, and we look forward to updating you on our next call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.